Operator: Ladies and gentlemen, thank you for standing by for Cigna's First Quarter 2017 Results Review. At this time, all callers are in a listen-only mode. We will conduct a question-and-answer session later during the conference and review procedures on how to enter queue to ask a question at that time. As a reminder, ladies and gentlemen, this conference, including the Q&A session, is being recorded. We will begin by turning the call over to Mr. Will McDowell. Please go ahead, Mr. McDowell.
William McDowell - Cigna Corp.: Good morning, everyone, and thank you for joining today's call. I am Will McDowell, Vice President of Investor Relations. With me this morning are David Cordani, our President and Chief Executive Officer; and Tom McCarthy, Cigna's Chief Financial Officer. Joining David and Tom for the Q&A portion of this morning's call is Eric Palmer, Cigna's Deputy Chief Financial Officer. In our remarks today, David and Tom will cover a number of topics, including Cigna's first quarter 2017 financial results, as well as an update on our financial outlook for 2017. As noted in our earnings release, when describing our financial results, Cigna uses certain financial measures which are not determined in accordance with accounting principles generally accepted in the United States, otherwise known as GAAP. Specifically, we use the term labeled adjusted income from operations and earnings per share on the same basis as our principal measures of financial performance. A reconciliation of these measures to the most directly comparable GAAP measure, shareholders' net income, is contained in today's earnings release, which is posted in the Investor Relations section of cigna.com. In our remarks today, we will be making some forward-looking statements, including statements regarding our outlook for 2017 and future performance. These statements are subject to risks and uncertainties that could cause actual results to differ materially from our current expectations. A description of these risks and uncertainties is contained in the cautionary note to today's earnings release and in our most recent reports filed with the SEC. Before turning the call over to David, I will cover a few items pertaining to our financial results and disclosures. Regarding our results, I note that in the first quarter, we recorded two charges to shareholders' net income, which we reported as special items. The first special item was an after-tax charge of $83 million or $0.32 per share due to a long-term care guaranty fund assessment related to Penn Treaty Network America Insurance Company and its subsidiary American Network Insurance Company. The second special item was an after-tax charge of $49 million or $0.19 per share for merger-related transaction costs. As described in today's earnings release, special items are excluded from adjusted income from operations in our discussion of financial results. Also, consistent with past practices when we make any prospective comments on earnings or EPS outlook we will do so on a basis that excludes the impact of any future capital deployment or prior-year development of medical costs. And with that I will turn the call over to David.
David Michael Cordani - Cigna Corp.: Thanks, Will. Good morning, everyone, and thank you for joining our call today. Before we get started, I'd like to take a moment to thank Tom McCarthy for his many years of service with Cigna. As you know Tom announced his retirement this past February. Tom has not only been an instrumental leader within our organization for more than three decades with considerable accomplishments and contributions to our growth and success, he's also a good friend to many of us, and we'll miss him on a both personal and professional level. Tom's excited to start his next chapter and I know you'll join me in wishing him and Linda (3:51) all the best in his upcoming retirement. Also, Eric Palmer will be stepping into our CFO role the summer. Eric's a proven financially leader with a strong track record of accomplishments over his 20 years with our company, and I'm confident in the value he'll bring to the role. Eric's looking forward to discussions with you as we look ahead to Cigna's future and he'll be joining us for the Q&A portion of today's call. To begin this morning's call, I'll briefly highlight our strong financial results. I'll then discuss how our approach to engaging, incenting and supporting our customers and healthcare professionals, combined with our ongoing investments in innovative capabilities, continues to fuel our growth and drive differentiated value for our stakeholders. Tom will then address our first quarter financial results in more detail as well as provide more specifics for increased outlook for 2017 before we take your questions. And after Q&A I'll wrap up the call with a few closing remarks. I'll start with some highlights of our results. We started off 2017 with strong momentum in earnings growth across each of Cigna's business segments. For the first quarter of 2017, consolidated revenue increased 5% to more than $10 billion. We achieved 20% earnings growth with adjusted income from operations for the first quarter of $719 million or $2.77 per share. Our Global Health Care business delivered earnings growth of 12% over the first quarter of 2016 with strong customer growth across all Commercial market segments, increased contributions from specialty solutions, well-managed medical costs and effective operating expense management. Revenue growth in our Commercial employer business continues to be very strong as we retain, expand and add new customer relationships across National Accounts, Middle Market, Select and our International market segments. In the Individual market, we continue to take a measured approach, participating where we can best deliver value and accumulate learnings as that very dynamic environment continues to evolve. And in our Seniors business, we expect be in position to participate in the Open Enrollment cycle this fall. In our Global Supplemental Benefits business Cigna again had double-digit revenue and earnings growth while continuing to make targeted investments to support future growth. Results from our Group Disability and Life business are benefiting from continued stable results in our Life portfolio and further improvements in our Disability performance. Overall, we began 2017 with strong momentum that we expect to carry through the remainder of the year and as such have increased our outlook for revenue, medical customer growth and EPS. Now I'd like to transition to how our ongoing value creation for you, our shareholders, goes hand-in-hand with improving the lives of our customers. As you know, we remain focused on enhancing access to affordable personalized quality care when and where health care services are consumed, all while we continue to expand peace of mind solutions for our customers around the world. We continue to innovate new ways to incentivize, engage and support both customers and providers of healthcare in a very localized manner, an approach which our experience shows helps to identify health risks earlier while also providing customers with greater value when they do need health services. Our proven approach begins with active listening to best understand and address the specific evolving needs of our customers and clients. This critical first step fuels our highly consultative solution oriented actions where we leverage our broad portfolio of programs and services and our collaborative relationships with healthcare professionals to deliver high-value, personalized solutions at a local level. We also actively engage customers and providers to facilitate the achievement of individual health goals and to strengthen incentive alignment particularly for our highest performing health care partners. Further, by leveraging data and insights we are better positioned to identify health risks at an earlier stage and take actions which allow us to improve the quality of health outcomes at a lower cost. As for scale and reach, our collaborative arrangements now total approximately 250 physician-based group arrangements. In addition to these partnerships we also have value-based arrangements in place with more than 125 hospital systems comprised of hundreds of individual hospitals spanning more than 30 states. We view our continued strength in Collaborative Accountable Care as paramount to accelerating the shared goals of increased value and sustainability across the healthcare system. Taken together with our innovative clinical programs and broad array of specialty health programs, we continue to deliver industry-leading medical cost trend which directly benefits our customers and clients and as such you, our shareholders. In addition to our proven partnerships with healthcare professionals, we are taking our alignment and collaborative approach to pharmaceutical companies. We have created seven such arrangements in the past two years that base reimbursement on the efficacy of the drug, not just the consumption or volume of the drug. Our leadership and innovation in the space was recently recognized by the Pharmacy Benefit Management Institute with their excellence award in recognition of Cigna's strategic efforts to change the reimbursement model with drug manufacturers from volume to value as well as our use of outcome-based contracts which link financial terms to measured improvements in our customers health and our use of insights to inform future affordability strategies. These accomplishments represent a clear source of sustainable value creation for our business going forward, and as such, shareholder value creation. Our engagement with communities where we operate further complements our strategic growth initiatives and local focus. Because health is so highly personal and highly local, we believe that taking steps to demonstrably improve the health of the communities we serve is critical to creating a more sustainable healthcare system which in turn creates a better environment. We actively use our individual engagement tools to decrease the health risks in the communities we serve. These tools include differentiated partnerships as well as our information and insights and broad clinical programs. For example, we're working with communities to address the U.S. opioid addiction issue. We started in early 2016 by convening diverse leaders from public and private sectors and local communities across the U.S. from D.C. to LA and from Chicago to Houston. And with these leaders we are taking action to stem addiction before it starts as well as address the needs for those who are addicted. Additionally Cigna is committed to reducing our customers' opioid use by 25% by 2019 to take us back to pre-crisis levels, while still providing the right care at the right time for our customers. To date, more than 150 forward-looking physician groups with nearly 62,000 physicians have signed on to actively honor our shared pledge, which is driving meaningful improvement already. For example, to-date, we've already delivered a 12% reduction in our customers use of opioid pharmaceuticals. Another example of our focus on communities is the Cigna Health Improvement Tour, a multi-city tour bringing free health screening and health coaching to communities nationwide so people can learn their numbers for four key indicators of chronic health concerns including blood pressure, blood sugar, cholesterol and BMI. To date, our tour has visited 18 cities and has had interactions with thousands of people. Our approach to partnering with our communities is another pathway towards creating greater access to more affordable, personalized and a more sustainable healthcare system. Now as I noted earlier, creating differentiated value for our clients and customers also enables us to deliver differentiated value for you, our shareholders. A part of that value is underscored in our exceptionally strong capital position and strategic financial flexibility at Cigna. We continue to expect to have over $5 billion of deployable capital at the parent company level in 2017, a testament to the strength and capital efficiency of our operating businesses. Given our under-levered balance sheet, as previous discussed, we also expect a significant increased degree of capital deployment capacity by returning to more normalized leverage ratios. Consistent with our prior comments, depending on the mix of share repurchase, dividend and M&A, we continue to expect capital deployment capacity of $7 billion to $14 billion in 2017. We remain very well-positioned to deliver attractive shareholder value over the long-term through a combination of strong organic revenue earnings growth and effective capital deployment. I'll now briefly touch upon the status of our proposed combination with Anthem. As you saw last week, the U.S. Court of Appeals affirmed the decision of the District Court enjoining the merger. This morning Anthem announced that it has filed a petition with the United States Supreme Court seeking a review of the decision by the Court of Appeals. On May 8, there will be a hearing in the Delaware Chancery Court to determine Cigna's rights to terminate the merger agreement. We will update you when there is additional news to share. Now before I hand the call over to Tom, I'd like to reiterate a few key points. The momentum we closed 2016 with has continued into 2017. We've started the year with strong results highlighted by double-digit earnings growth and strength in each of our operating business segments. This performance gives us added confidence that we will achieve our increased 2017 earnings outlook which is now a growth rate of 15% to 20% versus 2016. We're continuing to deliver value with an emphasis on personalization, affordability and being the partner of choice. Over the last couple of years we've positioned ourselves through ongoing investments in innovative capabilities and programs. We are positioned with outstanding capital strength, and as a global health service company we are creating significant value for all of our stakeholders thanks to the passion and dedication of our Cigna colleagues around the world. And with that, I'll turn the call over to Tom.
Thomas A. McCarthy - Cigna Corp.: Thanks, David. Good morning, everyone. In my remarks today I will briefly review key aspects of Cigna's first quarter 2017 results and discuss our outlook for the full year. Key financial highlights in the quarter are consolidated revenue growth of 5% to $10.4 billion, consolidated earnings growth of 20% to $719 million including double-digit earnings growth in each of our business segments; quarterly earnings per share growth of 19% to $2.77 per share; and continued strong free cash flow and financial flexibility. Overall, the strength of our first quarter performance provides us with solid momentum to start the year. Regarding our business segments, I will first comment on Global Health Care. First quarter premium and fees in Global Health Care grew to $7.3 billion driven by strong customer growth and specialty contributions across all Commercial market segments, partially offset by the expected contraction in our Seniors enrollment. We ended first quarter 2017 with 15.7 million global medical customers, an organic increase of 537,000 lives year to date. First quarter earnings increased 12% to $610 million reflecting growth in medical customers and specialty relationships, continued effective medical cost management and favorable prior-year reserve development. Turning to our medical care ratios, our first quarter 2017 total Commercial medical care ratio or MCR of 77.6% reflects ongoing strong performance of our Commercial business and favorable prior-year reserve development. The increase in the first quarter of 2017 MCR relative to the first quarter of 2016 reflects the impact on premium of the health insurance tax moratorium. Our first quarter 2017 total Government MCR of 85.9% reflects continued effective medical cost management for our advanced physician engagement model, quarterly seasonal impacts and favorable prior year development. First quarter 2017 Global Health Care earnings included favorable prior-year development of $61 million after-tax compared to $14 million after-tax in the first quarter of 2016. Moving to operating expenses, for first quarter 2017 our total Global Health Care operating expense ratio was 20.5% which reflects the impact of the health insurance tax moratorium, business mix changes and continued effective expense management. Overall, we've had a strong start to 2017 in our Global Health Care business. Turning to our Global Supplemental Benefits business, premiums and fees grew to $869 million, an increase of 13%. First quarter 2017 earnings grew 10% to $74 million reflecting business growth and strong operating expense management. This business has once again delivered double-digit growth as our customers continue to value the affordable and personalized solutions we deliver through an increasingly diverse and innovative set of distribution models. For Group Disability and Life, first quarter premiums and fees were just over $1 billion. First quarter earnings in our Group business was $68 million with our Life business performing as expected and Disability results reflecting a better-than-expected pace of improvement from the claims process modifications made last year. Overall Cigna's first quarter results reflect strong double-digit earnings growth in each of our business segments. We also continue to generate very strong free cash flow from our businesses and have significant financial flexibility. Now I will discuss our outlook for 2017. In 2017 we expect to continue to deliver strong financial performance for our shareholders by leveraging our differentiated capabilities to deliver affordable and personalized solutions, continuing to invest in capabilities to better serve our customers and clients and effectively deploying capital. For full year 2017, we now expect consolidated revenues to grow in the range of 3% to 4% over 2016 results, an improvement from our previous expectations driven by our increased medical customer growth outlook for 2017. Our outlook for full year 2017 consolidated adjusted income from operations is now in the range of approximately $2.41 billion to $2.53 billion or $9.25 to $9.75 per share. This represents an increase of $0.25 per share over previous expectations and represents earnings growth of 15% to 20% over 2016. I will now discuss the components of our 2017 outlook starting with Global Health Care. We now expect full year Global Health Care earnings in the range of $2.065 billion to $2.135 billion. The assumptions reflected in our Global Health Care earnings outlook for 2017 include the following: Regarding global medical customers, we now expect growth in the range of 500,000, to 600,000 lives over year-end 2016, an increase over previous expectations reflecting the strong growth we have seen across our Commercial market segments. Turning to medical costs, for our total U.S. Commercial book of business, we continue to expect full year medical cost trend to be in the range of 4.5% to 5.5%. We continue to drive greater incentive alignment for our customers, clients and physician partners resulting in positive health outcomes and better management of total medical costs. Now turning to our medical care ratio outlook. For our total Commercial book of business, we continue to expect the 2017 MCR to be in the range of 80.5% to 81.5%. For our total Government book of business, we continue to expect the 2017 MCR to be in the range of 85% to 86%. Regarding operating expenses, we continue to expect our 2017 Global Health Care operating expense ratio to be in the range of 20.5% to 21.5%. For our Global Supplemental Benefits business, we continue to expect strong top line growth and earnings in the range of $295 million to $315 million. Regarding the Group Disability and Life business, we now expect full year 2017 earnings in the range of $230 million to $260 million, an increase of $30 million over our previous expectations, reflecting continued operational improvements in our Disability business. Regarding our remaining operations, that is Other Operations and Corporate, we continue to expect a loss of $180 million for 2017. So all in, for full year 2017 we now expect consolidated adjusted income from operations of $2.41 billion-$2.53 billion or $9.25 to $9.75 per share. This represents an increase of $0.25 per share over our previous expectations. I would also remind you that our outlook continues to exclude the impact of additional prior-year reserve development or any future capital deployment. Now moving to our 2017 capital management position and outlook. Overall, we continue to have excellent financial flexibility. Our subsidiaries remain well-capitalized and are generating significant free cash flow to the parent, with a strong return on capital in each of our business segments, and we have significant free cash and leverage capacity available at the parent company. Our capital deployment strategy and priorities remain, providing the capital necessary to support the growth of our ongoing operations, pursuing M&A activity with a focus on acquiring capabilities and scale to further grow in our targeted areas of focus, and after considering these first two items, would return capital to shareholders primarily through share repurchase. Regarding free cash flow, we ended the quarter with parent company cash of approximately $2.7 billion. Year to date, we repurchased 2.3 million shares of stock for approximately $340 million. During the first quarter, we also deployed $250 million of parent company cash to repay current maturities of long-term debt and made a voluntary contribution to our pension plan of $150 million. After considering all sources and uses of parent company cash, we continue to expect deployable capital to exceed $5 billion in 2017. Through May 4, we have used $340 million of the total $3.7 billion of share repurchase capacity authorized by our board. Our balance sheet and free cash flow outlook remain strong benefiting from industry-leading margins and returns on capital in our businesses and a high level of capital efficiency, particularly from our fee-based business. Now to recap. Our first quarter 2017 consolidated results reflect strength in a diversified portfolio of global businesses and continued effective execution of our focus strategy. The fundamentals of our business remain strong, as evidenced by our first quarter results, which reflected strong revenue and earnings contributions from each of our business segments, industry-leading medical cost trend and high clinical quality, and continued strong free cash flow. Overall, we are pleased with our strong start to the year and are confident in our ability to achieve our increased full year 2017 earnings outlook. On a final note, as David mentioned, I have announced my retirement effective this summer. I appreciate the kind words and would like to express my gratitude to David and all of my talented Cigna colleagues for their partnership and friendship. I believe strongly in Cigna's mission and our continued focus on improving health, well being and sense of (24:15) security of those we serve, and I have enjoyed my many discussions with the investment community and know that you are in good hands with Eric Palmer when he takes over the role as CFO. With that, we will turn it over to the operator for the Q&A portion of the call.
Operator: One moment please for the first question. Our first question comes from Kevin Fischbeck. Sir, your line is open. You may ask your question.
Kevin Mark Fischbeck - Bank of America Merrill Lynch: Okay. Great. Thanks, and thanks, Tom, for your help over the years. Must be something in the air, it seems like a lot of people are retiring now. But again, thanks for your help. I guess my first question would be the guidance raise, you beat consensus by more than what you raised guidance for for the year. Just wondering if there's anything that you would highlight as far as timing in the quarter, or any increased pressures that you look for in the back half of the year.
David Michael Cordani - Cigna Corp.: Kevin, good morning; it's David. First, just at a macro level, we're quite pleased with the start of year, and just putting it into context, we set a pretty meaningful earnings growth goal for the organization for 2017 in the 12% to 18% range and we're quite pleased to start with this strength and raise that outlook to a 15% to 20% range. It's early in the year. We feel really good about the fundamentals from the revenue to the customer life growth, to the foundational aspects within the business, and look forward to a very good year. There's nothing beyond other than a strong start to the year, we feel quite good about raising the outlook, and it's early in the year, hence we think the raise is appropriate and for an (26:24) appropriate range.
Kevin Mark Fischbeck - Bank of America Merrill Lynch: Okay. And then I guess as far as the guidance on trend goes, a lot of favorable developments. Maybe you can (26:33) give a little bit of color about how much was in each business Commercial versus Government. And then how you're looking at the buckets of trend and how they're shaping up.
David Michael Cordani - Cigna Corp.: Kevin, I'll just frame it and ask Eric to give you a little bit relative to the way our medical costs more broadly are unfolding. First off, to put it back in context, we're starting the year again quite positive. The -- put it back into context, 2016 we delivered another very strong year of below 4% medical cost trend. We set an expectation for ourself for this year of 4.5% to 5.5%, and we're performing well within those -- the construct. We typically don't break out the prior year development by micro line of business. Eric can give you a little bit direction there and then the little bit of color relative to just the core medical cost trend we're seeing within the business by some of the categories. Eric?
Eric Palmer - Cigna Corp.: Good morning, Kevin. It's Eric. As David noted for 2016 we did finish the trend at just under 4% and really see the categories within the medical cost trend from 2016 continuing into 2017 and generally the same ranges across each of inpatient, outpatient, physician and pharmacy. We're in the kind of low- to mid-single digits in each category, nothing that I'd call out as particularly changing through the early part of this year.
Kevin Mark Fischbeck - Bank of America Merrill Lynch: Okay. Thanks.
Operator: And thank you, Mr. Fischbeck. Our next question comes from Josh Raskin with Barclays. Your line is open.
Joshua Raskin - Barclays Capital, Inc.: Hi. Thanks. Good morning. I guess first question just on the PBM strategy. I was wondering if you just give us an update on your thoughts and how you are perceiving the service, and what you're getting from Optum. Obviously you guys have chosen to stick with them through the change of control, et cetera. And so I'm curious just your perspectives on the PBM.
David Michael Cordani - Cigna Corp.: Josh, it's David. First, broadly relative to the PBM, our view relative to the services we need to deliver is that the broad-based pharmacy capabilities are one of the most critical capabilities to have an overall effective health service offering. To put your question back into context and be clear, today we own and fully operate our PBM and continue to. We partner where appropriate, and work to actively integrate our capabilities, and we're quite pleased with the outcomes we're delivering for the benefit of our customers, the service, the clinical quality. Eric just made reference to the sustained medical cost trend in the mid-single digit range, great value for our employer clients. And importantly, our approach to the integrated PBM presents even a further opportunity to integrate the information, the clinical program, the gap in care closure with our health care professionals. So own and operate, partner where appropriate, it's performing well and we're pleased. Lastly, in addition to the trend, I would note we've continued to successfully grow our PBM covered lives of our customer base pretty meaningfully and I think that's also a testament to the value we're delivering. So performing very well for us.
Joshua Raskin - Barclays Capital, Inc.: Okay. And then just a quick follow up on your comments, David. You said you guys were confident you'd be able to participate in the Open Enrollment Period for Medicare in the fall. I know we're still several months away but the sanctions have taken a little bit longer, I guess, than we would have expected. So I'm curious, what gives you the confidence that that's going to get resolved here?
David Michael Cordani - Cigna Corp.: Sure, Josh. Well, first and foremost, as we stepped into this process early on and we've set an extremely aggressive push for our organization to attempt to get all of the issues resolved before the prior year's Open Enrollment process, acknowledging that it was an extraordinary, at least short timeframe based on historical standards. Once that window eclipsed we set our sights toward, obviously, fully finishing the remediation work, which we're at the final aspects of. Point two is ensuring that we position ourselves to come out of this phase with an even stronger business unit, operating platform, and team and we're literally in the latter chapters of the body of work, ongoing dialogue, interaction with CMS as we speak. Lastly, just to reinforce, we're pleased with, while we don't like to shrink, we're pleased with the fact that our retention rates held up quite strongly through this process and I think that's a further validation and testament to the strength of the physician partnerships and collaboratives, with 85% of all of our MA lives in collaboratives and our very strong HealthSpring team that wakes up every day to serve our customers. So we're in the final chapter. We're having ongoing interaction and dialogue with CMS and we're planning for, in all aspects, to be in the fall enrollment cycle.
Joshua Raskin - Barclays Capital, Inc.: Okay. Thanks.
Operator: Thank you Mr. Raskin. Our next question comes from A.J. Rice with UBS.
A.J. Rice - UBS Securities LLC: Thanks. Hi, everybody and, Tom, I also add my best wishes to you going forward. You showed 3% – I think I have 3% enrollment growth in your National Accounts business and we did a quick scan and we may be wrong but it looks like the first time you've shown growth in since 2012 actually. What's happening there? And is there any reason to believe either the underlying market, your wins? Can you give us some sense of the dynamics? And I think you've traditionally characterized this as a gradually declining market but any updated thoughts on that.
David Michael Cordani - Cigna Corp.: Yeah, it's David. Thank you for the question. First and foremost, we're quite pleased with our customer growth coming into the year. We've set an objective for ourselves to grow in the 300,000 to 500,000 range and we're able to increase that outlook. First, broadly speaking, we've seen strong retention results, good new business adds and good expansion of relationships across all of our Commercial business segment. So quite important. Specific to the U.S. National Accounts, and as you know we define National Accounts as commercial employers with 5,000 or more employees that are multi-state. The employment base in that market has more stabilized now versus the continued 2% or so attrition, broadly speaking, as you look at the marketplace. We've had a great selling season coming into 2017, outstanding retention, good expansion, and good new business adds. I would add to the notion of our approach, that consultative approach is working quite well here in our National Account team, both our sales team, our client management team, aided by our informatics experts and our clinicians who've just done an outstanding job. Those employers are benefiting by our superior medical cost trend and it's working quite well in the market. The only add I would give you, A.J., is that we did see some further contributions to the National Account number off of some private exchange growth, as well, which is additive to this. I would say it's complementary but the foundation performed quite well. And then in our target go-deep markets and geographies, we saw some good growth on private exchange as well. So net-net, a strong Commercial performance.
A.J. Rice - UBS Securities LLC: Okay. And then just as a follow up, I might ask you about the Individual business. You actually almost, I think, doubled the memberships if I've got it right, from where you exited last year. Is that in keeping with what you, sort of, thought? Give us a sense of, if you look at the demographic profile of those new members, is there anything there that's surprising or is it, sort of, similar what you've seen before? And any early comment about your thoughts about next year's participation on exchanges and so forth?
David Michael Cordani - Cigna Corp.: A.J., a bunch of questions there. Let me try to frame the environment as we see it. First, as you know, we've taken a very measured approach since the inception of the exchanges to this marketplace. We've been in a range of five to seven states and 2% to 4% of our enterprise revenue in these programs. We still have to engage here to learn and to evolve the programs we've put in place. And we've seen some successful recipes by using our highly performing collaborative models. Specific to your question, our growth is about where we expected it to be. The locations of our growth, the aggregate growth and our performance in the first quarter is about where we expected it to be as well. Relative to 2018, while it's already late in the cycle, unfortunately it's too early to declare because as you know, the evolving rules, regs and positioning coming out of Washington is still pretty dynamic and we're tracking it day-to-day and working with the federal government. So growth in line with our expectations. First quarter performance in line with our expectations. Highly focused in seven states today and highly focused through our collaborative relationships. Stay tuned for more relative to 2018 as the final fact set closes relative to the regulatory environment.
A.J. Rice - UBS Securities LLC: Okay. Great. Thanks.
Operator: And thank you, Mr. Rice. And our next question comes from Ralph Giacobbe. Your line's open, with Citi.
Ralph Giacobbe - Citigroup Global Markets, Inc.: Thanks. Good morning. Tom, congrats on the retirement and thanks for all your help. I guess I wanted to also ask on the Commercial market, you mentioned – Commercial risk, I guess more particularly. You mentioned a little bit on the exchanges but you also had a pop in experience-rated. David, you talked about active listening to your customer base. Maybe can you flesh that out a little bit in terms of your offering and maybe factors driving accounts to perhaps incrementally pick that offer?
David Michael Cordani - Cigna Corp.: Ralph, just framing it from a broad standpoint, our sales and client management team, supported by our underwriters, informatics and clinical team; we attempt to approach the market in terms of a solution orientation. So understanding the clients' needs; understanding their health burden; understanding their culture and strategy; understanding their readiness to change; recommend a series of programs: service, design, et cetera; and then engage with them on funding approach with a pretty agnostic orientation relative to ASO, ASO stop-loss experience-rated guaranteed cost. And that's one of our strengths. And you'll see ebbs and flows over time. Now we had good growth in all of our customer segments for 2017 thus far and good growth in all of our funding mechanisms. I wouldn't call out anything unique relative to experience-rated there. It's a part of our franchise that we've used over quite some time; and typically, that hunts well in the middle market. Lastly as I said to a prior call, we saw a little bit more uptick in the private exchange lives. They were split about 50-50; you could think about that between ASO and guaranteed cost on the National Account franchise. So, again, nothing to call out other than strong growth and leveraging the broad portfolio of funding mechanisms we have.
Ralph Giacobbe - Citigroup Global Markets, Inc.: Okay. Fair enough. And then in the last couple quarters you had cited some pressure on Medicaid, I think in Texas and Illinois. Is that largely fixed or still a drag? And I guess any incremental thoughts on your interest in getting bigger in Medicaid, just given relatively low exposure today? Thanks.
Eric Palmer - Cigna Corp.: Ralph, it's Eric. I'll remind you, Medicaid's a small business for us. It is a small business for us. Essentially just the Dual SNP programs in Texas and the demonstration projects in Illinois. And as you noted, we did report an increase at Medicaid MCR in Texas and Illinois towards the tail end of last year and still a bit elevated in the first quarter this year. But, again, overall a small business for us. I would note that we do not plan to participate in the Illinois Medicaid market beyond the end of this year, so the exit of that business is contemplated in our outlook. The last thing I guess I'd add on the Medicaid business is that we did see some sequential improvement. Some of the actions we took out of the tail end of last year have started to have some traction in terms of improving the results, but again first quarter Medicaid loss ratio a little bit pressured versus first quarter of 2016. David'll give some color on the more macro framing.
David Michael Cordani - Cigna Corp.: Ralph, on the long-term we're looking forward. As we've discussed in the past, one of our M&A capital deployment priorities is to seek opportunities to expand, as we say our capabilities to serve Government-based high-risk programs over time. We believe the marketplace will continue to evolve to use more actively managed and collaborative-oriented programs relative to both state and federal programs that serve the higher-risk population. And over time, we see opportunities in a more localized manner to pursue those as we look to the future.
Ralph Giacobbe - Citigroup Global Markets, Inc.: Great. Thank you.
Operator: And thank you, Mr. Giacobbe. Our next question is from Justin Lake with Wolfe Research.
Justin Lake - Wolfe Research LLC: Thanks. Good morning. Tom, good luck on the retirement; well-deserved. So first, sounds like you're seeing faster improvement in the Disability business. Can you talk about the drivers here relative to expectations? And how should we think about exiting the year? Can we get back to historical margins at the end of 2017 or is that still an 2018 event?
David Michael Cordani - Cigna Corp.: Justin, it's David. Good morning. First and foremost, we're pleased with the performance. We saw a step up in Q3 of last year, Q4 we see strong performance in the first quarter this year with stable ongoing results on the Life side. The Disability results were a little stronger in the first quarter than even we had anticipated which is good. And we're pleased to take up the outlook for that line of business. As we look forward to the core of your question, we remain fully focused on completing all the bodies of work that are in front of us relative to stabilizing that business. And our expressed objective is that we step out of 2017 with the full strength of that organization as we look to 2018. That's our objective, and we're well on our way relative to that goal.
Justin Lake - Wolfe Research LLC: Okay. Then just a question on timing. Without prognosticating on the outcome, can you tell us what your legal team expects in terms of how fast we get a resolution on the TRO post Monday's hearing? And then should it go your way and the deal officially breaks, what would you expect your timing to be in terms of potentially coming back to the Street with more color on capital deployment?
David Michael Cordani - Cigna Corp.: Justin, relative to Monday's court review and decision, not helpful for us to speculate on the outcome or the timing of that. Clearly, we'll be in position to communicate as quickly as possible, and recognize the importance relative to that, but not helpful for us to speculate on the timing or the outcome there, but it's on the immediate horizon. To the core of your question, we would challenge ourself once there's open clarity to be as comprehensive and timely as possible for our shareholders to communicate next steps for our organization. And I would think you'd have confidence that we've always been both transparent and responsive and we would seek to be highly transparent and responsive as soon as the window opens to have that conversation.
Justin Lake - Wolfe Research LLC: Great. Thanks.
Operator: And thank you, Mr. Lake. Our next question is from Gary Taylor, JPMorgan. Your line is open.
Gary P. Taylor - JPMorgan Securities LLC: Hi. Good morning. I just actually had three quick clarifications, and then one question. But the quick ones, when you talk about the less than 4% medical cost trend for 2016, I presume you're talking a gross number, and not a net number, net of buy down?
David Michael Cordani - Cigna Corp.: The way we would frame it, I'm not sure how you're applying the net gross et cetera. We would view that as the net number that our clients and customers experience and noting that the vast majority of our business is self-funded. That's the net number of what they're seeing. And of course, you used the term buy downs. Evolution of the benefit programs is obvious factored in and contemplated within that.
Gary P. Taylor - JPMorgan Securities LLC: Okay. And on the MA sanctions, I've heard your comments on that. Would you be willing to venture a guess on timing, so Open Enrollments obviously far away, but is there any way to tighten up when you think you might be able to announce that the issues are resolved?
David Michael Cordani - Cigna Corp.: Gary, David. Not helpful to try to put a pin point number on that. Most important piece, we remain fully focused, aligned and prepared for the Open Enrollment process for the fall cycle. Beyond that not helpful to expand further.
Gary P. Taylor - JPMorgan Securities LLC: Got it. And on the EPS guidance for this year, I'm sorry if you've said this, but I presume there's no additional repurchase in there beyond what you did in the 1Q.
Eric Palmer - Cigna Corp.: Gary, it's Eric. No additional capital deployment or any expectations about future prior-year development in our guidance.
Gary P. Taylor - JPMorgan Securities LLC: Okay. And then my last question, kind of my real question following a little bit on Justin. You've terminated the merger agreement and the judge has enjoined that pending this hearing. Is there a scenario where that enjoinment could continue and this SCOTUS appeal actually matters in terms of timing? Or do you expect a definitive answer on Monday?
David Michael Cordani - Cigna Corp.: Gary, it's David. First I compliment the efficiency of getting four questions in. Well done on your part. Specific to Monday, we're not going to expand further in terms of speculating the outcome relative to the court. We leave it to the courts to draw the conclusion, and we will communicate this immediately as quickly as possible after there's clarity in terms of next steps.
Gary P. Taylor - JPMorgan Securities LLC: Fair enough. Thank you.
Operator: Thank you Mr. Taylor. Our next question is from Chris Rigg from Deutsche Bank. Your line is open.
Chris Rigg - Deutsche Bank Securities, Inc.: Good morning. Just wanted to – and you've talked about this a little bit already – but when I look at the Global Health Care adjusted income guidance, the revision, it's up about $25 million, but you had the PPD of 61. So I just want to make that it's really just – you're baking in some conservatism right now, and there's no offsetting impact factor to the PYD.
David Michael Cordani - Cigna Corp.: Chris, it's David. As I indicated to a prior question relative to the outlook, first off, macro – we set a pretty meaningful increase relative to the franchise performance for 2017 as we stepped into the year. We're pleased to actually have such a strong quarter and be able to raise our outlook. There is nothing unique to call out. It's just early in the year, a variety of moving parts, and we look forward to continuing to deliver strength as we look forward. But there's nothing unique to call out relative to moving items within the Global Health Care business.
Chris Rigg - Deutsche Bank Securities, Inc.: Okay. Great. And then just on Medicare Advantage, do you think that you're going to see – are you troughing the membership and that you should see some growth later in the year, because the sanctions should be lifted midyear or something like that?
David Michael Cordani - Cigna Corp.: Our organization's orientation is going to be as soon as sanctions are lifted, we're ready to roll. The team is anxious to get back into the marketplace. It's a very capable, prideful, passionate team that have the deep position partnerships, and everybody's ready to move as soon we're given the green light relative to CMS's conclusion. So if that happens prior to the Open Enrollment cycle, there'll be activation in the current year, et cetera. So we're ready to move.
Chris Rigg - Deutsche Bank Securities, Inc.: Thanks a lot.
Operator: And thank you, Mr. Rigg. Our next question is from Peter Costa with Wells Fargo. Your line's open.
Peter Heinz Costa - Wells Fargo Securities LLC: Hey, good luck, Tom, and thanks for all the clear disclosure and help over the years. David, nice quarter. I'd like to focus back again on the membership growth. Whenever we see big membership growth, we always get concerned about things, and so we wanted to pick out a few risks and ask you which of the risks you think are the most significant and the ones that are most concerning to you. So if you look at like the Individual business, that grew very fast, and a lot of other competitors have had issues there. So is that a bigger risk than, say, the risk of the Anthem merger agreement continuing on and impacting your business overall and causing a slowdown in that membership growth or overall membership growth? And then perhaps the risk of – a lot of your competitors have talked about alternative funding arrangements and starting to go into the smaller accounts with that, which was historically one of your key strengths. And I guess the last one is just maybe the risk of overall pricing relative to medical costs trend. Are you confident that your view on trend is the right one considering it's lower than many of your competitors?
David Michael Cordani - Cigna Corp.: Peter, let me try to package the framework of your questions together and try to be responsive to all the items you raised. First and foremost, stepping back, most important headline, we're pleased with our outlook. Remember, we've set an expectation for ourselves to grow 300,000 to 500,000 lives, so we expect it to grow across our business. We had expectations to grow the Individual business. We had expectation to grow the Commercial business. We understood we would strengthen the Seniors business. That was contemplated within that. Within all of our businesses, we're essentially in line with expectations save for a little bit more strength in the National Accounts and a little bit more strength in the regional markets. So headline, we expect it to grow. We've grown. We've grown across all of our funding mechanisms, and by line of business or by segment, in line with expectations with a bit more strength in National Accounts, which is great, as well as the regional segment. Point two, you identified a bunch of risks. I maybe go to the end of your question and work my way back. As I discussed before, our approach has been for quite some time not to be in a position to sell products but rather to try to put in place a framework of solutions. So having the capabilities to do so is one thing, having the talent to do so is another thing, and having the information and infrastructure to support that is another thing. While our organization is far from perfect, we're sitting on a decade of investments to be able to deliver that, and our really talented team is able to be consultative in support of our clients and customers in the marketplace today and move the levers that best match those clients' needs relative to benefit design, engagement, incentive, network design, collaborative leverage, and then get the right funding mechanism in place. And the proof is in the pudding in terms of multiple years of lowest industry medical cost trend, last year below 4%. Targeted 4.5% to 5.5% for this your, performing in line with those expectations and moving forward. Now to try to come back to the core of your question, if you had to pin us down in terms of what would be the number one variable that sits in front of us right now, you still have to come back to the Individual market just because as an industry there's variability relative to that. I would remind you it remains less than 5% of overall revenue for our organization. We're focused in seven states. We exited three states coming into 2017 where we couldn't get the recipe we wanted in place, and the vast majority of what we're doing right now are aligned to the physician collaboratives and we performed, generally speaking, in line with our expectations for the first quarter. But there would be more variability in that than our other lines of business just because of the nature of that animal. But we're off to a start with the number of lives, the location of the lives, and the performance of those lives year-to-date, already.
Peter Heinz Costa - Wells Fargo Securities LLC: Thank you very much. Very helpful.
Operator: Thank you, Mr. Costa. Our next question is from Dave Windley with Jefferies. Sir, your line is open.
David Howard Windley - Jefferies LLC: Hi, good morning. Thanks for taking my questions. Tom, best of luck in retirement. At the risk of asking something maybe a little more precisely but that you've generally answered on, on National Accounts and the growth there, we maybe heard some comments around lack of price discipline, not from you necessarily, but in the market, in general. And, David, you just mentioned, kind of, selling solutions. I'm wondering if the comments that were made in the prepared remarks about larger specialty contribution and penetration are wrapped up in that solutions answer that you just gave.
David Michael Cordani - Cigna Corp.: Well, Dave, remember first and foremost, if you take National Accounts, think about that marketplace as traditionally largely self-funded. So let's go back to the base frame. Outstanding retention year, so clients who are experiencing the service value proposition medical cost trend, et cetera, are pleased, therefore, staying with us. We could either drive innovation, changes, et cetera, but it starts with really strong retention. Second is earning the right to expand relationships with our existing corporate clients, either through adding new geographies for medical or further expanding the specialty solutions which is a cornerstone of our strategy, and then targeted new business adds. As I noted earlier, we've also been able to perform on some of the private exchanges. There we orient relative to our very targeted go-deep orientation on key geographies where we believe we have a differentiated value proposition from collaboratives or otherwise and target some opportunities there. So we feel quite good about the quality of the business that's been put in the books. Important to underscore though, this all starts with an outstanding retention result. Outstanding retention in National, regional and Select then further expansion, then targeted adds.
David Howard Windley - Jefferies LLC: Got it. Thank you. Just a quick question on Group Disability and Life. There are usually reserve studies annually. Wondering if there's anything anticipated coming out of that that is included in the guidance around Group and Disability for the balance of the year.
Eric Palmer - Cigna Corp.: Dave, it's Eric. Yeah, we will complete our disability reserve study in the second quarter. However, we wouldn't expect any significant impact from reserve studies and nothing built into the guidance.
David Howard Windley - Jefferies LLC: Okay. Thank you.
Operator: Thank you Mr. Windley. Our next question is from Tom Carroll from Stifel. Sir, your line is open.
Thomas Carroll - Stifel, Nicolaus & Co., Inc.: Hey, guys. Good morning. So I have a question as well on the Global Sup and Disability and Life business. Are you seeing larger investment income in both of those areas because of the interest rate environment? And then, I guess as a follow-up to that, I imagine this will eventually benefit the Health Care business at some point and maybe could you remind us of earnings support per 100 basis points of rate change, however, you'd like to define that.
Thomas A. McCarthy - Cigna Corp.: Tom, it's Tom. We are seeing a little bit of a lift as interest rates go up but let's just put this into context, right? Most of our investment income relates to longer tailed reserves and, as a result, we have an average maturity of six maturities – it's long, about six years, let's say. And given that any change in interest rates tends to work their way into results, given that any change in interest rates tends to work their way into results over a long period of time as our invested assets mature and they are reinvested over the year. So to your point, 100 basis points increase now. Over the balance of the year, probably ends up with a net investment income in the $10 million to $15 million pre-tax range. So it's modest.
Thomas Carroll - Stifel, Nicolaus & Co., Inc.: Great. Thank you so much. Great quarter.
Operator: Thank you Mr. Carroll. Our next question comes from Sarah James with Piper Jaffray. Ma'am, your line is open.
Sarah E. James - Piper Jaffray & Co.: Thank you. And I want to echo the comments to Tom. I wanted to go back to retention because Cigna's really stood out from peers on retention and I think it feeds into your low cost trend. One of your peers is starting a big retention initiative focusing on Net Promoter Score as the method to boost retention. Is there any efforts underway at Cigna to focus on Net Promoter Score? And how do you think about Commercial employer retention heading into 2018?
David Michael Cordani - Cigna Corp.: Sarah, good morning, it's David. We obviously, we've always talked about our growth strategy being oriented around retain, expand, add, because again you have to deliver on your promise relative to your existing clients and customers to earn the right, first off, to keep the relationships, ideally to expand the relationships on the targeted basis, and then new business adds. We talk within our corporation around a culture and an environment of customer centricity, putting the customer in the center of all we do. I forget how many years ago it was. We started measuring Net Promoter Score on a global basis multiple years ago, feels like five years ago or so. We have it built into the incentive structure of the organization for everybody in the organization from me on down to anybody who's in a variable reward structure. And we think it's an important part. It's not the singular part, but it's an important part of understanding both relational NPS, that's the aggregate relationship, the loyalty factor et cetera. But then you have the ability to get really pinpointed as well in terms of transactional NPS. It helps you actually guide your business during the course of the year as opposed to waiting for the longer-tailed relational. So you want to look at both of those pieces of the equation. And lastly to further expand this, we carry that orientation beyond our customers to our clients and our key health care professional partners as well. Understanding that orientation of beyond satisfaction, loyalty effect, and where dissatisfiers are versus satisfiers and continuing your innovative evolution around that is mission-critical. So we've been committed to this for a long period of time, and it's one of the mechanisms we use around our customer-centricity focus.
Sarah E. James - Piper Jaffray & Co.: That's very helpful. And just one clarification on your earlier comments around building out capabilities for the high acuity Medicaid. I wanted to get a sense of timing there. Is this a near-term focus given that we're heading into a more robust LTSS and ABD RFP cycle in the next 12 to 24 months? Or is this more of a long-term goal? Though not necessarily in place for this round of contract opportunities, but a long term service?
David Michael Cordani - Cigna Corp.: Sarah, I would think about it intermediate to long term. This is not a 12-month horizon item for us currently.
Sarah E. James - Piper Jaffray & Co.: Thank you.
Operator: Thank you Ms. James. Our next question comes from Ana Gupte with Leerink Partners. Ma'am, your line is open.
Ana A. Gupte - Leerink Partners LLC: Yeah. Thanks, good morning. My question was around the alternate funding on self-insured with stop-loss. You're growing really nicely in stop-loss and still in double digits on Select to low single in Middle Market. With the passage of repeal-and-replace with the tax relief for employers, do you see the growth rates likely to sustain? And what kind of communication are you getting from them?
David Michael Cordani - Cigna Corp.: Ana, a big picture, no is the answer. We don't see any disruption relative to that. So, yes, we expect the growth rate to sustain going-forward. And as you step back from it, having the – our belief that is then having the transparent funding mechanisms to better align ourselves with the employers, enables us to have daily, weekly, monthly interaction with the employers as opposed to an annual interaction relative to the performance. And then dynamically manage, engage in how the programs are operating. For the smaller side of the employer space, as you move down beyond National into the lower end of Middle Market and into Select, the stop-loss component adds a measure of certainty and predictably for the employers and it augments. We never viewed that the prior law with the tax was an accelerant. We don't view that the current proposed changes will be a decelerant, because we didn't see it as (57:42) push either way. It's an important toolset to have to be consultative and transparent with our employers, and we continue to see good growth there.
Ana A. Gupte - Leerink Partners LLC: Okay. A follow up on that again on policy. At the state level post the elections, the Republicans did quite well. What is the climate looking like on that support for the 50 to 100 portion of the self-insured plus stop-loss, has that approved at all? Because the focus on trying to stabilize Individual and encourage dumping, and I'm not sure if I'm right or wrong on that. But has it gotten any better there?
David Michael Cordani - Cigna Corp.: Yeah, Ana, to your macro point, it's been a little choppy ride in terms of narratives and obviously state level there's 50 different narratives, 50 different dialogue points. First, stepping back, putting it back in context, historically, Cigna's not participated in, or focused on the under 50 employer segment. Our Select segment is focused on the needs for the under 250 life employer segment historically and typically in the 50 to 250 segment. There's a few states that actually moved that line from 50 to 100, and some modification to our approaches took place, but our growth hasn't been impacted. More broadly, to the core of your question, and from a state standpoint, as we interact at both the federal level and state level, we strongly believe that enablement of more choice versus restrictive regulation is critical, including in the small employer market. And enabling access to the innovative programs that are working more broadly in the employer market that have transparency, have the incentive, have the engagement capabilities are good for the employer, the customer and the health care professionals. And it varies by state, but we're seeing good understanding and acceptance of that; and very importantly, a lot of activation and support from the employer community itself wanting to amplify that dialogue. Because again it's their employees, their financing and their needs and they're seeing value there. So a dynamic environment and it will continue to be and we'll stay engaged. But for our Select segment, we see great growth opportunities looking forward.
Ana A. Gupte - Leerink Partners LLC: Thanks, David, and thanks, Tom, for everything. Good luck.
Operator: And thank you, Ms. Gupte. Our next question comes from Mike Newshel with Evercore ISI. Sir, your line's open.
Michael Newshel - Evercore ISI: Thank you. You mentioned plans to exit the Medicaid business in Illinois. Is that running at a loss currently; and if so, could the exit translate into any noticeable tailwind in 2018?
Eric Palmer - Cigna Corp.: Michael, it's Eric. I think the dimensions around that, I would say it's kind of near breakeven. Wouldn't characterize it as a major headwind or a tailwind in terms of the impact.
Michael Newshel - Evercore ISI: Got it. And I think you also said the Individual and Commercial performance is tracking in line with expectations. So just to clarify on margins, does that mean they're still negative but better than last year?
David Michael Cordani - Cigna Corp.: Yes.
Michael Newshel - Evercore ISI: Great. Thank...
David Michael Cordani - Cigna Corp.: Perfectly summarized, Michael, yes.
Michael Newshel - Evercore ISI: Great. Thank you very much.
Operator: And thank you, Mr. Newshel. Our last question comes from Michael Baker with Raymond James. Sir, your line's open.
Michael J. Baker - Raymond James & Associates, Inc.: Thanks a lot. David, employers are increasingly asking for tools that help their employees better navigate the health care system balancing cost and quality in light of the increased prevalence of high deductible plans. Just curious of your thoughts and positioning on that and any potential timing of new offerings along those lines.
David Michael Cordani - Cigna Corp.: Michael, good morning. So we actually strongly agree with that. So the ability as we talk about to engage, incent and support Individual customers is critical to the way we think about our portfolio. I'll give you two illustrations, prior set, current set. Aiding our customers with highly transparent consumer friendly decision support tools around cost and quality, quite important to us. We've continued to evolve those tools and capabilities. We've been chosen by Consumer Reports and others as having the industry-leading tools relative to it, not just because of the data that's out there but the usability and the ability to influence decision-making. So that's kind of past current state. 2017, important launch for us. In the first quarter of 2017 we launched a new program and service that does exactly what you're describing. It's known as Cigna One Guide. It's a multichannel, multi-modal engagement capability that allows the direction that you just articulated but also has a learning dimension that's built into it with smart algorithms to provide next-best decision support, next-best recommendations. It also has the ability to integrate between the consumer or the individual with our service professionals and our clinical professionals. And we see the opportunity to integrate that further in our health care collaboratives going forward. So it's quite exciting. By order of magnitude and scale, we're already servicing 1.5 million customers. With that platform it'll rapidly ramp to over 5 million customers. So indicative of the journey we're on to the prior conversation relative to the customer NPS consumer centricity. These are just two examples of investments in customer-oriented capabilities to better engage and support them; and very importantly where possible, integrate them with the health care professionals so there could be a similar level of insights going forward. So expect to see more from us even on a go forward basis.
Michael J. Baker - Raymond James & Associates, Inc.: Thanks.
Operator: And thank you, Mr. Baker. I would like to turn the call back over to David Cordani for closing remarks.
David Michael Cordani - Cigna Corp.: Thank you, everyone. So just to wrap up our call, I'd like to highlight a few key points from our discussion. We began 2017 with strong momentum and have increased our outlook for the full year. We reported strong revenue growth with earnings growth across each of our business segments and strong customer growth. We remain committed to achieving our long-term average annual EPS growth rate of 10% to 13%. We're confident in our ability to deliver our increased 2017 outlook of 15% to 20% earnings growth, and we're further strengthened by our significant capital position and our capacity for meaningful capital deployment. Our efforts to improve the health and lives of our customers in the communities we work and live in and play in around the world are driven daily by the talented and dedicated Cigna team. And lastly, we thank you for joining our call today and we look forward to our future conversations. Have a great day.
Operator: Ladies and gentlemen, this concludes Cigna's First Quarter 2017 Results Review. Cigna Investors Relations will be available to respond to additional questions shortly. A recording of this conference will be available for 10 business days following this call. You may access the recorded conference by dialing 866-370-3634 or 203-369-0247. Thank you for participating. We will now disconnect.